Operator: Good day. And welcome to the Contango Oil & Gas Company Third Quarter 2014 Results Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Joe Grady. Please go ahead sir.
Joseph Grady: Thank you. I’d like to welcome everyone to Contango’s regular earnings call for the quarter ending September 30, 2014 this morning. I’d like to start by reminding everyone that the results for the three months and nine months periods ending September 30, 2014 reflect the merger with Crimson Exploration that was effective October 01, 2013. So 2013 results reflect -- or for the comparable periods in 2013 reflect pre-merger standalone Contango. On the call today are myself Allan Keel, our President and CEO; Steve Mengle, our Senior VP of Engineering; Tom Atkins, our Senior VP of Exploration and Carl Isaac, our Senior VP of Operations. I’ll give a brief overview of financial results. Turn it over to Allan to give you a brief overview of the current operations and then we’ll follow that with the Q&A, and as we usually do, we’ll limit questions from the audience to those from analysts that follow our stock closely, as we believe that is most constructive and productive use of everyone’s time and especially in the case of today as we’re on a short fuse and present at Jefferies Conference right after this call. Before we begin, I want to remind everyone that the earnings press release and discussion this morning may contain forward-looking statements as defined by the Securities and Exchange Commission which may include comments and assumptions concerning Contango’s strategic plans, expectations and objectives for future operations. Such statements are based on assumptions we believe to be appropriate under circumstances, however, those statements are just estimates, are not guarantees of future performance or results and therefore should be considered in that context. Starting with review on financial results we reported net income of 3.7 million for the quarter or $0.19 per basic and diluted share compared to a net loss of -- sorry net income of 19.7 million or $1.30 per basic share for the pre-merger quarter last year. Major items contributing to this variance were included in the 2014 quarter results, were approximately 6 million pretax income contributed by Crimson offset by the production interruption related to the compressor installation at Eugene Island 11, which we’ve estimated at $12 million pretax impact. While 2013 results included an approximate $16 million pretax gain on sale related to our interest in Alta Resources. Adjusted EBITDAX as defined in our release and which excludes exploration expense was approximately 48 million for the current quarter compared to approximately 27 million for the prior year quarter. A 78% increase that could have been considerably better had we not had the production interruption at Eugene Island for the compressor installation. Adjusted EBITDAX per share for the current quarter was $2.54 per diluted share compared to consensus estimates of $2.46 per share on a cash flow basis which are from a practical standpoint, is the same. Production for the current quarter was approximately 9.4 Bcfe or approximately 102 million per day equivalent compared to 72 million per day in the pre-merger prior year quarter. As previously guided production for this quarter was below the second quarter due to the impact which we estimated at 18 million a day for the quarter of the Eugene Island 11 installation. Guidance of a 105 billion to 115 billion equivalence per day for the fourth quarter includes restoration of Eugene Island production at roughly 99% appreciating rates, but also assumes now meaningful new production coming online during the quarter as we’ve gone to pad drilling in Chalktown area for the fourth quarter. Historically, we’ve drilled, completed and commenced production in sequence for each new well while pad drilling after the fourth quarter anticipates the drilling of three well in sequence completing those wells in sequence and then commencing production for all three at one time probably in the first quarter of 2015. Total operating cost for the current quarter including direct LOE production taxes, transportation cost, interest in cash G&A were $2.14 per Mcfe compared to a $1.24 per Mcfe in 2013 quarter with the increase primarily reflecting the post-merger increase in the size of the asset base in the organization. While that per unit rate is higher than recent quarters due to the shut-in impacted production total cash cost were approximately 1.4 million less than the midpoint of guidance we gave for the quarter due primarily to lower cash G&A cost. Guidance on total cash operating cost for the fourth quarter is comparable to third quarter experience. Impairment costs were 6.7 million for the current year quarter as we impaired unproven cost related to portions of our TMS acreage and our GOM prospects in accordance with our policy of impairment of unproved cost. Most of this quarter’s expense relates to TMS acreage that expires in early 2015 under our policy requirements we may have quarterly amortization of GOM prospects of as much as approximately 900,000 per quarter for the next two years. As of September 30th we have approximately 54 million outstanding on our current facility which is a $500 million facility with current $275 million on borrowing base that was recently reaffirmed through May 1, 2015. So we have a very strong liquidity position that provides us the flexibility to expand the current price environment to continue to pursue a balanced program, drilling of current respective inventory and/or pursue acquisition opportunities in this low price environment. That concludes the financial review and I’ll now turn it over to Allan for an operations update.
Allan Keel: Thanks Joe and good morning every one and thanks for being here today with us. I like to share few highlights about the information we provided in our operations release and where appropriate and meaningful, add few extra comments. First of all I’d like to say that when we do not have the definitive guidance, -- we don’t have any definitive guidance on our 2015 capital program as of yet, we’re probably a few weeks away from having that finalized and presenting that to our board. Given recent decline in oil prices and our view of staying within cash flow, our focus will most likely to be on further delineating our existing positions primarily Madisonville, South Texas and the three new plays that we’re got working now. And given our time constraints today, I’ll limit my comments to pretty high level for each area. In Madison and Grimes counties we concentrated our efforts this quarter on Chalktown portion of Woodbine play were we brought the Dean well online at a previously reported 30 day rate of 927 barrels equivalent per day and finalize the Heath well that so far has not lived up to expectations and we continue to test that. Despite seeing shows during the drilling phase in the Heath well, we really haven’t see anything by water thus far. We’ll continue to evaluate the well and learn from it. And we also three wells that are in process at the end of the quarter. We continue to be excited about Chalktown areas evidenced by our addition of second rig with the expectation that we will have two rigs operate in that area during 2015 utilizing the pad drilling approach. In Grimes County in order to release that we previously reported a notch well in the Tommie Carroll 2H at a 30 day rate of 648 barrels equivalent per day. We will be receiving a third rig in that area in the very near future. It will spend most of this time in Grimes County area for the 2015 timeframe. Down in South Texas in the Buda play we continue to delineate this part of our portfolio during the quarter as we previously reported commenced with the production five wells at average initial 30 day rate of 800 barrels equivalent per day. As noted in release we also had two more wells in process at the end of the quarter and we’re reported the results of those wells in the next quarterly release. We believe that we have to find the optimum space in the productive sweet spot for Buda and we’ll mostly likely focus our 2015 activity on the Eagle Ford formation across our 9,500 acre position down in Zavala, Dimmit counties. In terms of new plays as most of you know we acquired three new potential plays, one in Texas and two in Wyoming over the last six to nine months. First of all, we’re entered into a ground floor of fifty-fifty exploration agreement with a private company where we’ve acquired approximately 53,000 gross acres, 24,000 net in South Central Texas primarily in Fayette and Gonzalez counties where we’ll target a number of different formations. We initiated drilling during the quarter, have drilled two wells, one is cleaning up and one is awaiting completion, are currently drilling third well. We will spud the fourth well after completion of drilling on the third and we’ll announce well result and future strategy by early to mid-first quarter. We’re excited about this play and given the success in the initial targeted formation. We estimate that, we can add an estimated 200 drilling locations to our portfolio based on 150 acre spacing. Also, very similar to our Texas play, we’re very excited about our first play up in Wyoming where we acquired the right earn up to approximately 119,500 gross acres with an 80% working interest in Natrona County, Wyoming where we will target Mowry Shale along with other formations and this is called our FRAMS project. In addition to the FRAMS project we’ve also acquired the right to earn approximately 49,000 gross acres, 44,000 net in Western County, Wyoming were we will pursue horizontal test in the Muddy Sandstone which is our North Cheyenne project. And this North Cheyenne project lie between two pretty large vertical muddy fields. So, we’re excited about both of those. This past weekend, we spud our first FRAMS well, again back in Natrona County which will also be a pilot hole and includes core analysis. We expect to have reportable results on this well in the first quarter. Given the success in this area we estimate, we can add between 300 to 1200 gross locations to our portfolio for the Mowry alone depend on spacing. And once we drill first well FRAMS will take that rig and move it up to the North Cheyenne prospect probably late of the year, early next year and again given success there in the North Cheyenne prospect, we could add potentially 200 locations to our inventory there. That’s just a brief overview of our operations and what we’ve got going if you see, this has been a very busy quarter and we'll continue to keep that momentum going into 2015. And with that, that concludes our prepared remarks this morning and we’ll open it up for questions.
Operator: Thank you. (Operator Instructions) and we’ll take our first question from Neal Dingmann with SunTrust.
Neal Dingmann - SunTrust: Morning, guys. Allan, I know you haven't obviously put out official guidance, you did mention that for next year. But just your thoughts in broad terms how, between the Elm Hill, the FRAMS and the Cheyenne project, obviously a lot of upside there, how you'll balance that with obviously some of the existing Buda. I'm wondering more in broad terms, is it existing acreage, your core acreage? Would that be three-quarters of the budget versus quarter for some of these newer plays? Maybe if you and Joe can give a little color on that first.
Allan Keel: We have a lot of drilling to do in the Chalktown area for next year I’ll tell you less so in the Buda down South Texas, we do plan to drilling some Eagle Ford wells down there, but it’s really our acreage position is set up, we do have the partner in our project in Fayette, Zavala county so we’ll have to work with them to figure what our plan is going forward given success there. But I would think that the majority of our budget would be directed towards Madison, Grimes some at Eagle Ford and then subject to success and some of these other plays that’s where the remainder of capital would go. We’re still trying to our belief especially in these lower commodity price environment, it’s just stay within cash flow with our budget. However, as given -- if we had an outstanding success at one of our three new projects that might change our view.
Neal Dingmann - SunTrust: Exactly. And then was wondering about, in addition to the production guidance for fourth quarter you talked about the drilling related interference in three wells in the Buda play. Just your thoughts, is that going to be -- is that just limited to that area, or is that something you're potentially cautious on that's going to be more widespread? Or just maybe some more details around that.
Allan Keel: I think I was just an isolating instance, but remember we’re not going to be drilling that much in Buda in 2015 it’s going to be more Eagle Ford.
Neal Dingmann - SunTrust: No, good point. Okay, okay. And then I think I know this as far as, just going for the budget for next year, Joe, is it fair to say for now with your two positions out west in addition to obviously the Fayette position, just your thoughts as far as leases and expenses on that, would that be pretty minimal, at least for the start of the year?
Joe Grady: In terms of new leasing?
Neal Dingmann - SunTrust: Yes, sir.
Joe Grady: Well, we will include in our 2015 budget a sizable number, similar to what we have in this year’s budget for the potential for new leases and new lease and new place in 2015 and our efforts to continue to build our inventory.
Neal Dingmann - SunTrust: Okay.
Joe Grady: As it relates to the existing plays that we already have it would probably being more affiliate kind of expenditures.
Neal Dingmann - SunTrust: Okay, that gives that’s where we’re going, I saw that, that was out there but I was wondering just based on Allan’s comments I guess if that could change or that still the planning at this time that is still to have spending on those kind of new leases and Joe, is that fair?
Joe Grady: That’s correct.
Neal Dingmann - SunTrust: Okay and just lastly, location at the Elm Hill project, obviously there is activity around you all in the Fayette, a lot of it looks -- starting to look quite good. Your thoughts, Allan, of just how active you could get. Just specifically, I'm interested in that area. After this, is it dependent on how this first well looks and that will determine activity for the beginning of the year? Just your thoughts around that? 
Allan Keel: I think we’ve got – we’re going to drill these four well and we’ll test each one of those wells in subject over the result of those wells I think that’s going to be driver for our level of activity, I mean in the event we have a large amount of success and very pleased with the results I think that both us and our partner would be very anxious about hearing and get after it, but time will tell.
Operator: (Operator Instructions) And we’ll take our next question from Kyle Rhodes with RBC Capital Markets. 
Kyle Rhodes - RBC Capital Markets: Just on the strategic front, how do you guys currently view the relative attractiveness of share repurchases to potential M&A opportunities out there? Do you guys start to see any capitulation in ask prices just yet? 
Allan Keel: Well, we haven’t seeing -- the things that we looked at thus far we haven’t seen anything that’s compelling enough to go run down, but that’s obviously something that we’re very aware of and keeping our eyes on the market to see what opportunities might present themselves. So yes, we’re very engaged on that front. 
Joe Grady: And Kyle I’ll add to that, we’re going down a parallel path there we think that our stock is undervalued and good investment so we’re allocating some capital with that but still keeping our eye on the bigger picture being continued building of inventory for a drilling program going forward.
Kyle Rhodes - RBC Capital Markets: Got it, makes sense. And then just any additional color you guys can provide on that Heath unit Chalktown well? Anything you saw in the drilling completion that has you concerned about the southern Chalktown Area? Maybe some more color around that?
Allan Keel: Well you’re going to get is good news and bad news out there, we’re evaluating that still, we’re looking at the water, what type of water we’re making, load water versus formation water, with chlorides might be, so we’re doing some further investigation there. We’ll apply some more scientific work out there in the near term that signing up was positive term in that. But it is important well for us and it’s important for us to have a clear understanding of what actually going on there.
Kyle Rhodes - RBC Capital Markets: Got it. Thanks guys. 
Operator: And our next question is from Chad Mabry with MLV & Company.
Chad Mabry - MLV & Company: Thanks. I wanted to drill down on Q4 guidance a little if I could and maybe get an idea of the offshore versus onshore split there. To specifically looking at Eugene Island 11, just curious how that performing now that you have compression installed there?
Allan Keel: First of all, I would say that Eugene Island 11 is performing and we’re expecting those compression, we had really good performance installing the compressor with about 21 days on shut-in time and the wells are back on now and performing as we generally expected I think we’re going to be very close through the third quarter to what we budgeted offshore for the year from our PDP production. 
Chad Mabry - MLV & Company: So, just normal decline after that?
Allan Keel: Yes, just normal decline.
Chad Mabry - MLV & Company: Okay, great. And then going back to Fayette County with the four wells there, just curious are you testing different formation, different concepts there is that going to be one kind of horizon that you’re testing with those four wells. 
Thomas Atkins: Yes, this is Tom Atkins. We’re testing a variety of different things, formations, completions, all that kind of stuff. We’re trying to get a good knowledge on the spread of our acreage and we’re doing different things. 
Chad Mabry - MLV & Company: That’s helpful. Thanks guys.
Operator: And our next question is from Michael Glick with Johnson & Rice.
Michael Glick - Johnson & Rice: Good morning guys. Just a question on pad drilling I mean kind of what’s the process would transition into that and what’s the go for pad design that you’re targeting?
Carl Isaac: Carl Isaac, again. I think several things actually relative to pad drilling, we obviously get some capital efficiency to begin with we’re moving rigs on the same location in 12 hours versus moving from location to location in three or four days. So you can kind of start there is capital efficiencies that are created by pad drilling. But there is also technical efficiencies that have been pretty well documented in most resource plays, in terms of placing fracs on adequately spaced wells or down space wells or really any spacing you want to talk about at the same time prior bringing adjacent wells on production. So we anticipate that we’ll have some production efficiencies, some reservoir efficiencies, capital efficiencies, that all come to bear as we drill -- as we move to pad drilling. Pretty excited about it we’ve spend a lot of time to delineating our acreage on a well-by-well, location-by-location basis. So this gives us an operational opportunity to finally start realizing some of the capital in production efficiencies that we’ve watched others enjoy.
Michael Glick - Johnson & Rice: So I guess that sounds like the plan going forward and if so, should we expect kind of some lumpiness in production?
Carl Isaac: Yes, I think both lumpiness and production, but also a bit in capital when we’re drilling wells at $2.5 million or $3 million each three consecutively, we don’t incur the $3 million to $3.5 million completion cost as rapidly. So, when we go back out and we complete three wells in row that’s going to create some capital spikes as well relative to that specific asset. So we’ll see both on the production and the capital side to some extent.
Michael Glick - Johnson & Rice: And just real quick, thought process on any of the other formations in that Madison and Grimes County area? 
Allan Keel: Yes, we’ve always believed that there was a tremendous amount of opportunity and additional horizons and formations in Madison and Grimes County so we’re currently working a lot of that stuff. We’ve drilled pilot holes this year, took core in a couple of zones so we’re looking at that, there is a tremendous amount of activity all around Madison county, but I like to keep looking at Madison county itself, tremendous amount of activity and multiple horizons Buda, Georgetown or even in Glen Rose, Edwards so there is a tremendous amount of opportunity up and down the section in Madison and Grimes county.
Michael Glick - Johnson & Rice: Okay, thank you very much.
Operator: And we’ll now take a question from Curtis Trimble with Brean Capital.
Curtis Trimble - Brean Capital: Thanks, good morning, everyone. Third quarter CapEx a little shy of what I expected. I'm guessing based on Carl's comments that had to do with, let's call it the lumpiness of completions. Can you give us any color on what fourth quarter CapEx might look like? 
Allan Keel: Well, the guidance that we’ve given for the year of 2.15 to 2.25, I think is still pretty good. So, fourth quarter would be an active quarter.
Curtis Trimble - Brean Capital: Good deal. And in terms of infrastructure around the plays in Wyoming, I'm going to hazard a guess that you've got plenty of legacy infrastructure, but are there any pressure considerations for new versus legacy production? 
Allan Keel: I’m not sure I understand the second part of the question, the first part of the question as far as maturity of infrastructure and what we call a North Cheyenne in the Weston county we’re between two large fields that actually have productions in the zone, were looking at their one of the zones and so there is some infrastructure there that’s just mature. In Natrona County, it’s not so much but we don’t really see that being a big problem at this point in time and I think that’s something that we’re getting our arms around right now and we’ll have a better feel for us as we progress through the project.
Curtis Trimble - Brean Capital: And you’re expecting that to be a dominant oil play?
Allan Keel: Sure, hope so and thoroughly expect it will be.
Curtis Trimble - Brean Capital: Appreciated.
Operator: And this concludes today’s question-and-answer session. I’d like to turn the conference back to our speakers for any additional remarks.